Company Representatives: Mike Nash - Executive Chairman Steve Plavin - Chief Executive Officer Jonathan Pollack - Global Head of Real Estate Debt Strategies Katie Keenan - President Tony Marone - Chief Financial Officer Doug Armer - Executive Vice President, Capital Markets Weston Tucker - Head of Investor Relations
Operator: Good day, everyone, and welcome to the Blackstone Mortgage Trust, Fourth Quarter and Full Year 2020 Investor Call hosted by Weston Tucker, Head of Investor Relations. My name is Lesley and I’m the event manager. . I’d like to advise all parties that the confrere is being recorded for replay purposes. .  And now I’d like to hand you over to your host for today. Weston, please go ahead.
Weston Tucker: Great! Thanks Lesley and good morning everyone. Welcome to Blackstone Mortgage Trust’s fourth quarter conference call. I’m joined today by Mike Nash, Executive Chairman; Steve Plavin, Chief Executive Officer; Jonathan Pollack, Global Head of Real Estate Debt Strategies; Katie Keenan, President; Tony Marone, Chief Financial Officer; and Doug Armer, Executive Vice President, Capital Markets. This morning we filed our 10-K and issued a press release with a presentation of our results, which are available on our website and have been filed with the SEC. I’d like to remind everyone that today’s call may include forward-looking statements, which are uncertain, and outside of the company’s control. Actual results may differ materially. For a discussion of some of the risks that could affect results, please see the Risk Factors section of our 10-K. We do not undertake any duty to update forward-looking statements. We'll also refer to certain non-GAAP measures on this call, and for reconciliations, you should refer to the press release and our 10-K. This audiocast is copyrighted material of Blackstone Mortgage Trust and may not be duplicated without our consent. So a quick recap of our results. We reported GAAP net income per share at $0.57 for the fourth quarter, while distributable earnings were $0.60 per share. Last month we paid a dividend of $0.62 per share with respect to the fourth quarter. If you have any questions following today’s call, please let me know. And with that, I’ll now turn things over to Steve.
Steve Plavin : Thanks Weston. Amid the backdrop of the pandemic, an extraordinary economic upheaval that stress tested our business like never before, BXMT outperformed, just as it did during the seven year growth period that preceded COVID. In 2020 our loan portfolio had the appropriate collections and excellent credit performance, with loan fundings and repayments remaining in balance.  We earned our considerable dividend while increasing liquidity and decreasing asset level leverage. We accessed the capital markets throughout the year, opportunistically raising equity to premium-to-book value and a corporate term loan, as well as issuing two CRE CLOs.  In addition, this morning we launched an upsize of our Term Loan. We always believe that our strategy for originating senior loans on large scale high quality assets with financially strong sponsors would better endure periods of market volatility and that our business would deliver differentiated results throughout cycles. BXMT’s borrowers have equities that are protecting their assets and the financial wherewithal to do so. So the ability and the willingness to support our loans, even when property cash flow is temporarily reduced from the pandemic. 
Katie Keenan: Thanks Steve. We built the BXMT business to be stable and resilient, with a portfolio of low volatility in first mortgage loans, supported by a match funded balance sheet. That business model proved out last year, enabling us to weather the impacts of the pandemic and produce steady, distributable earnings of $2.48 per share, covering our dividend despite the unprecedented backdrop.  Our earnings translate to a yield-on-book of over 9%, even with LIBOR near zero, and we generated these earnings while simultaneously increasing our liquidity by over 50%, lowering our debt-to-equity ratio from 3.0x to 2.5x and maintaining strong credit performance across the portfolio.  Over the full year we collected 99.7% of interest due under our loans, including 100% in the fourth quarter, with less than 1% of interest deferred. Our sponsors are steadfast in their commitment and have contributed over $0.5 billion of fresh equity since the start of the pandemic to support the asset backing our loans.    repayments, while slower have continued throughout the year. We had $1.4 billion since March, including repayments in New York City, Chicago and San Francisco this quarter, which is indicative of the continued health of the market and strength of our collateral.
Tony Marone : Thank you, Katie, and good morning everyone. Before I get into our financial results, I would like to briefly comment on our non-GAAP earnings measure, core earnings, which we have renamed distributable earnings starting this quarter.  Historically we have disclosed core earnings as an important financial metric that we use, in addition to GAAP-net income to assess the performance of our business. Most importantly, I want to be clear that this is only a change in terminology and not how we calculate this metric. Distributable earnings is calculated the same way as core earnings was before.  We are making this change following discussions between the mortgage REIT industry and the SEC over the past several months, to adopt terminology that is more descriptive of what this metric represents, which is a measurement of our results anchored in GAAP-net income and adjusted for certain non-cash items to be a better indicator of our performance within the context of our potential dividend.  Note that just like with core earnings, there will be differences between distributable earnings and our dividend in any given quarter, but we expect them to generally correlate over time. 
Steve Plavin : And Lesley, before you open up for questions, if I could just remind everyone to limit your first question to one question and one follow on, and then re-enter the queue if you have further questions, that would be great. Thank you. 
Operator: Okay, thank you. Thank you everyone. . And we do have some questions. Your first question comes from the line of Charlie Arestia from J.P. Morgan. Please go ahead Charlie, you're live in the call. 
Charlie Arestia: Hey, good morning everybody. Thanks for taking the questions. I was wondering, with the risk ratings that are disclosed in the 10-K, now there is over $3 billion of loans risk rated for/or higher, which assumes there is a risk  loss on those loans. Can you just talk a bit about how we can think about quantifying that risk in the context of the $18 billion portfolio and also the specific loan reserves and what macroeconomic drivers might lead towards principal loss? 
Katie Keenan : Sure. So you know starting with thinking about how we address the risk rating, you know a four risk rating which we moved a number of our hotels and other most affected assets in Q, in the first quarter as COVID was coming in, really reflects an interruption or a decline in the business plan, but not really a principal loss. The five risk rating would be assets where we are thinking that that you know maybe a possibility of assets that are impaired. So when you are thinking about the magnitude, you know I would look at the four as more as underperforming business plan, but not necessarily expecting a loss.  The other thing I would really note is, we made a move of the portfolio, you know to reflect the pandemic earlier in the year and since then we have not seen any material change to the negative, you know in the credit performance of the portfolio. Conversely, really what we've seen is continued performance from our sponsors. You know over $500 million of equity coming in, sponsors writing checks every month to carry the assets and increasing tailwinds as far as fundamental.  You know for hotels in particular, you know as we look at you know coming out of the pandemic, increasing adoption of the vaccine, pent-up consumer demands, you know we're seeing the possibility of a recovery on the horizon and we think that will ultimately benefit the hotel which comprise most of the four rated assets.  And in the meantime the sponsors are taking a similar approach that we are, which is knowing that this is an interrupted period, but they believe in the long term value of the assets. And so that’s the way we conceptualize the four and five rated assets and on the five, you know we think that the impairments we took are adequate. There has been no material change on those assets and we are really focused on the ongoing stable performance of the portfolio and really the new loans we are making, which are very high quality from a credit perspective. 
Charlie Arestia: Okay, thanks Katie, I appreciate that. And a quick follow-up on the hotel portfolio since you mentioned it. Are you guys seeing any distinctions between collateral performance between leisure focus and sort of corporate travel focus hotels, and I guess broadly speaking, how are you guys thinking about that as an asset class into 2021? 
Katie Keenan : In terms of performance to-date, we really aren’t seeing a distinction. The assets we lent on you know originally were high quality assets – are high quality assets, strong markets, very strong sponsor and business plans that we think makes sense for the assets. We never did a lot of you know group convention focused assets. Our collateral is more focused on the leisure market and on select service.  As far as we think about the recovery, I think you know you're right that we expect the recovery to take hold earlier for more leisure focused assets and that's great. For us we have a lot of hotels in Hawaii where we think travel will bounce back and you know I think the sponsors are feeling that way as well. 
Charlie Arestia: Thanks very much. 
Operator: Okay, thank you. Your next question comes from the line is Stephen Laws from Raymond James. Please go ahead Stephen, you’re live in the call. 
Stephen Laws: Hi, good morning. I appreciate the color so far. First question, can you talk about, you know as you're looking at the new originations in the pipeline and underwriting those, can you talk about what differences you may have underwriting loans today versus pre-COVID and maybe would be helpful to compared to say like loan 3, which was originated a few months before COVID hit, you know if that loan was underwritten today, how much would the V or LTV at origination had changed today versus when that loan was originated in Q4 of ’19? 
Katie Keenan : So I think I’ll start with what stays the same, which is every loan we originate, we are pulling information from across the Blackstone platform and really getting you know the latest information, real-time data on what we're seeing, you know both in our lending portfolio and in our ownership portfolio across the platform and that gives us I think a real advantage in terms of assessing credit.  So as we look at assets today, we are pulling in all of that information. You know we're looking at where we see the recovery taking hold, where we see the most activity and as I mentioned we’re looking at a lot of multi-family and life-sciences deals. Our pipeline is very strong in those sectors. Looking at both growth markets and more core markets where we see very high quality real-estate at an attractive basis. So I think that's how we're looking at the new pipeline.  The loan you referenced is the headquarters of Peloton. So we’re feeling great about the credit of that asset and it's also in Hudson Yards where we’re seeing the most activity in terms of tenant activity and new leases through COVID. So we feel very good about the credit there. 
Stephen Laws: Okay, and as a follow-up on the financing side, you know how much cost is it to you know as you move more of your financing from warehouse to non-mark-to-market. You know you're giving up you know 20 basis points as at 50. Can you somewhat quantify that for us and maybe what a target mix is on the non-mark-to-market front? 
A - Doug Armer: Hey Steven, its Doug, that's a great question. I think you know we've had very good fortune in terms of our market timing and the shift to a greater proportion of CLO financing in particular. It hasn’t represented a material increase in costs, and that's partly been a function of the fact that the tenor of the loans you know has increased, and that we've been able to really issue in very large scale. You know the fixed cost in securitization, you know when you spread those across a longer tenor and a bigger notional, you know are actually much more efficient than some of the more variable costs in the credit facility execution. I think in terms of target allocations, you know where we are now you know feels like a pretty good place to be. The strategy is really a working concert between syndications, bilateral credit facilities and securitization. But I think there is a lot of room to grow the proportion of securitization in the European portfolio overall, so it’s you know I think in terms of a target, you know we might expect to see that 50% number that Tony referenced across the entire portfolio as opposed to you know specifically in the U.S. portfolio. 
Stephen Laws: Great! Thanks for taking my questions today.
Operator: Thank you. And your next question comes from Doug Harter from Credit Suisse. You’re live in the call Doug. Please go ahead.
Josh Bolton: Good morning everyone. This is Josh on for Doug, thanks for taking the questions. As you see transaction volumes picking up, can you give us a sense of where you’re seeing loan spreads on new loans today and how those compare to the current portfolio? Thanks. 
Katie Keenan : Sure. On the loan spreads today, you know we're really seeing loan spreads roughly consistent with where we were pre-pandemic and similarly on the financing side you know those two really move in step and so we're seeing very consistent net spreads on our new originations relative to where we were originating you know last year, at this time last year. 
Josh Bolton: Got it, thanks. And then just one on the LIBOR floors, can you give us any sense of where floors are being set on new originations. Just trying to help us get a sense of the difference between the floors on those new loans and on loans paying off. Thanks. 
Katie Keenan : Yes, LIBOR floor is typically and in the current market as well, really set close to where LIBOR is currently at closing, and so that's what we're seeing on our new originations. 
A - Doug Armer: And Josh, hey its Doug. I thought you know I might just add to that, you know that we like LIBOR floors that are right at the money as much as we like LIBOR floors that are right in the money, because our balance sheet overall is asset sensitive and since we're running a floating rate book, we like our debt you know floating rate as well, so – and in terms of matching assets and liabilities, so that's a good place for us to be in terms of asset liability management. And as Tony and Katy both mentioned, the ROIs that we're generating in this you know new origination environment, are consistent with the ROIs that we have in the portfolio now and that we’ve generated historically. 
Josh Bolton: Great! Thanks Doug, I appreciate it. 
Operator: Thank you. And your next question comes from Jade Rahmani from KBW. You're live in the call Jade. Please go ahead.
Jade Rahmani: Thank you very much and it's good to speak with you all. I was wondering on the 100% interest collections, I know that's contractual interest collections and obviously there's been 49 loan modifications totaling $6.5 billion, which is about 40% of the portfolio, so therefore indicating that the nature of the contract has changed. How do you think that interest collections compare with what may have taken place on the portfolio prior to either any modification through the onset of the pandemic, just so investors have a sense of that. 
Katie Keenan : Hey Jade, that's a great question and we included some specific disclosure on that in the release. In our modifications we've had less than 1% interest deferrals, so virtually no deferral. The modifications really have been characterized by sponsors putting in additional equity and us giving them a little bit more time in terms of the execution of the business plan. That's the vast majority of what we're doing.  The interest deferral has been almost non-existent. Our sponsors have been wanting to continue to support their assets and show their long term commitment to the business plan. 
Jade Rahmani: And so when you say interest deferrals, to put a finer point on it, would that encompassed a reduction in interest rate or would you say that the 100% interest collections would include loans that have undertaken a reduction in interest rates? 
Katie Keenan : We really have not seen – I can't think of – I really can’t think of any examples of that. That's not the way that conversations have gone with the sponsors. 
Steve Plavin: So Jade, this is Steve. We haven't had any significant reductions of rates on any of our loans. We’re really collecting the same amount of interest currently now that we were before the onset of COVID. 
A - Doug Armer: Jade, just to put you know a finer point on that, you can see that in our financial. So you know if you look at our top line, you'll see in particular with regard to the LIBOR floors and the performance of the loans in general, you'll see that we've had consistent interest collections in absolute dollars. 
Jade Rahmani: Thanks, I'll get back in the queue. 
Steve Plavin: Thanks Jade.
Operator: Thank you. Your next question comes from Steve Delaney from JMP Securities. You’re live in the call Steve. Please go ahead.
Steve Delaney: Good morning, everyone. Hope you're all well. Katie you mentioned the five loans and the new originations in 4Q and the roll forward looks like about $500 million funded. Can you let us know, what was the total commitment amount on those five loans, if you have that handy? 
Katie Keenan : The total commitment amount on the loan that we closed in the fourth quarter was about $229 million and then we had – that included a couple of up sizes, and then you know to your point, as we’ve had consistently, we have future fundings in our loan portfolio as well, which creates a really great sort of tailwind for the stability of the portfolio, and we had you know future fundings that had a reasonably predictable pace, you know adding to our new originations and creating more income for the portfolio. 
Steve Delaney: Interest – okay, so yeah the $229 million was related to the five and the $500 million or so was included – included future fundings on prior originations. So looking at the $229 million five loans, that's about a $50 million average. I think your portfolio is closer to 150. Does that just have to do with the fact that you had more multi-family and there was a specific focus to maybe spread risk around or to make smaller loans or was that just coincidental? 
Katie Keenan : It’s a great question! I would say it’s pretty idiosyncratic. You know we have smaller loans in the portfolio; we obviously have larger loans in the portfolio. We're always very, very focused on strength of sponsorship and large sponsors tend to do large loans. In this case the number of the loans we did were with a very strong, you know high quality, well capitalized, private equity sponsor that just happened to have a lot of multi-family, but just a little bit more granular. So very consistent with the quality of the assets and the quality of the sponsor we look for. On the pipeline, looking forward we are seeing very large loans consistent with our historical levels, so we don't anticipate any change to the strategy. This is really just a little bit of an idiosyncratic situation of what closed in the fourth quarter versus what we expect to close in the first quarter. 
Steve Delaney: Thanks very much. 
Operator: Thank you. Your next question comes from Matthew Howlett from Wolfe. Your live in the call Matthew, please go ahead. 
Q - Matthew Howlett: Thanks for taking my question. If the office sector, I mean which is your largest concentration, maybe you can just take a minute to comment on your thoughts in the office market generally, particularly in the major cities, what the world might look like post COVID, then maybe checking on exposure what these separates look like. You mentioned Peloton, but generally what all these separates look like on the portfolio. Thanks. 
Katie Keenan : Sure. So you know as far as office, we believe that as the vaccine becomes more widely distributed and the perception of safety improves, people will return to offices and employers will look for a resumption of you know the creativity and collaboration and talent development that really is best done in the office.  Work-from-home will have some impact on the margin, but we've always been most focused on offices that cater to tenants that are growing, you know strong markets, talent centers, knowledge based businesses, you know life sciences, content creation. Those activities really cannot be done at home, they are best done in the office and we think that will make our portfolio resilient.  I think today modern office amenities, a more flexible space is often more important than ever and that also is something that we've always been focused on in making our loans.  As far as our portfolio, I’ve mentioned Peloton. Our largest office exposure is the future headquarters of Pfizer and we have a lot of loans on the west side of LA where the content creation dynamic is very strong in Hudson Yards, Midtown Atlanta, Nashville, other locations where we're continuing to see tenant take up and new leases signed even through COVID.  So we feel very good about how we positioned the portfolio, which was really on the back of what we saw as the overall macro trends toward more knowledge centered industries being the growing office users you know in the future. 
Q - Matthew Howlett: Great, thank you. 
Operator: Thank you. And your final question comes from Jade Rahmani from KBW. You’re live in the call Jade, please go ahead. 
Steve Plavin: Hi Jade. Are you on mute?
Jade Rahmani : Yeah, thank you very much. Can you hear me?
Steve Plavin: Yeah, now we can hear you.
Jade Rahmani : You know I know we've never compared the BXMT portfolio to CMBS, but CMBS is the market that does provide the most granular and transparent information. Looking at the January statistics and December you know continued to show modest improvement in delinquency trends, but grace period loans have up-ticked and I'm wondering if you're seeing that as any potential you know warning sign of a future increase in credit impacts that may transpire over the next couple of months. 
Katie Keenan : I think there’s a real distinction between the types of assets and loans that are in the CMBS market and the loans that we are making, you know it's with our borrowers, the types of assets that we’re looking for. You know I think the divergence that we see is really in the quality of sponsors, the size of the assets, the business plan for the assets, the leverage that we pursue on our loans, which is you know low to mid 60’s and I think that really has been reflected in the performance.  If you look at the performance of the CMBS market through the last year versus the performance of our portfolio, there is a very significant distinction in what we’ve seen there and I would expect that distinction to continue. 
Jade Rahmani : Okay, understood and I appreciate that. Definitely have noticed the difference in the loan size that BXMT carries, you know much, much greater loan sizes suggesting more sponsorship behind these loans, more equity, as well as the shorter nature of the business plan, so there's more CapEx in play and also noting the focus on new vintage assets which you talked about.  This last question would be $0.60 of distributable earnings this quarter with a 2.5% decline in interest income, but with the pipeline in place that you mentioned you expect earnings to ramp up you know back to maybe the average over the past few quarters and thereby cover the current dividend. Is there any comment you can provide as to that?
Doug Armer: Hey Jade, it's Doug. I think you know we weathered 2020 very well and I think that was a great validation of our business model and to your question, our earnings power. We currently have a very good array of accretive capital markets options available to us and I think that we're very well positioned to grow the portfolio in terms of the pipeline that Katie referenced and those capital markets options available to us, and in turn we would expect earnings to grow you know with the portfolio growth. 
Jade Rahmani : Thanks very much. 
Doug Armer: Thanks Jade.
Operator: Thank you very much. That was your last question and I would like to turn the call back to Weston Tucker for final remarks.
Weston Tucker: Great! Thanks everyone for joining us this morning and if you have any follow-ups, please let me know after the call. Take care. 
Operator: Good bye! Thank you everyone. That concludes your conference call for today. You may now disconnect. Thank you for joining and enjoy the rest of your day.